Operator: Greetings, and welcome to the Kulicke and Soffa First Quarter 2026 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Joe Elgindy, Senior Director, Investor Relations. Thank you, sir. You may begin.
Joseph Elgindy: Thank you. Welcome, everyone, to Kulicke and Soffa's Fiscal First Quarter 2026 Conference Call. Lester Wong, Interim Chief Executive Officer and Chief Financial Officer, also joins me on today's call. Non-GAAP financial measures referenced today should be considered in addition to, not as a substitute for or in isolation from our GAAP financial information. GAAP to non-GAAP reconciliation tables are included within our latest earnings release and earnings presentation, both are available at investor.kns.com along with prepared remarks for today's call. In addition to historical statements, today's discussion contains forward-looking statements regarding our future performance and outlook. These statements are made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, and involve risks and uncertainties that may cause actual results to differ materially. For a complete discussion of the risks associated with Kulicke and Soffa that could affect our future results and financial condition, please refer to our latest Form 10-K and upcoming SEC filings for additional information. With that said, I will now turn the call over to Lester Wong for the business market and financial overview. Please go ahead, Lester.
Lester Wong: Thank you, Joe. Good morning, everyone. We are pleased to report that demand is improving at a faster and stronger pace than previously expected. Customer sentiment has strengthened meaningfully, and utilization across our most significant markets and regions remain favorable. While residual headwinds in the automotive market may persist near term, general semiconductor and memory markets continue to demonstrate robust demand, supported by broadening technology improvements and renewed production activity across multiple regions. Turning to recent business results. We continue to see improving order activity with additional visibility through fiscal 2026, which is supported by favorable utilization trends in general semiconductor and memory end markets. Separately, demand for our portfolio of advanced packaging solutions, including our Fluxless thermocompression bonding tools remains robust, and we continue to anticipate a strong growth year for our advanced packaging opportunities. For the first fiscal quarter, we generated revenue and earnings above expectations and remain focused on ramping production to support strong customer demand, in addition to driving parallel technological transitions within advanced packaging, advanced dispense and power semiconductor. Dynamics within the high-volume general semiconductor and memory end markets remain favorable, while we also experienced a slight sequential revenue improvement within the automotive and industrial end markets. In the first fiscal quarter, general semiconductor revenue increased by 27% sequentially and over 90% from the same period last year, driven by both technology and capacity needs of our customers. Across our portfolio of solutions, all reportable segments recognized sequential increases within general semiconductor this past quarter. We estimate utilization levels remain over 80% for this key end market. Turning to memory. After a 60% increase last quarter, demand sequentially declined due to product and customer mix. While the concentration of memory customers can create demand variability quarter-to-quarter, we have observed ball bonding utilization rates, which exceed 85% for the memory market, up from the mid-70% range last year. This indicates a healthy capacity environment for our NAND assembly solutions. While AI-related workloads are driving capacity tightness across the memory market, they are also driving new packaging solutions for cost-effective stacked DRAM, in addition to emerging requirements for high-bandwidth flash or HBF. I will provide a brief update to our memory opportunities shortly. Within automotive and industrial, we experienced a 15% sequential revenue improvement in the December quarter, although continue to anticipate industry headwinds to linger through fiscal 2026. Despite these near-term headwinds, we remain positive on long-term automotive and industrial trends, anticipate semiconductor content per vehicle supported by ADAS requirement to double over the coming 10 years. We also remain well positioned to continue benefiting from gradual long-term share growth in battery and plug-in hybrids as we deliver new power semiconductor technology and capacity requirements. Lastly, aftermarket products and services increased by 14% from the same period last year, reflecting increased production activity and improved utilization across our high-volume installed base. We are optimistic about fiscal 2026 based on current demand levels and utilization level improvements and remain focused on ramping production to meet high-volume demand. Also, our traction within advanced packaging, advanced dispense and across power semiconductor opportunities continue to be encouraging. Within advanced packaging, transition of both vertical wire and thermocompression remain on track. We continue to anticipate that the advanced solutions segment will strongly grow this year as advanced TCB capacity is in demand throughout our customer base. Over the years, we have created a competitive portfolio of TCB solutions supporting a wide range of leading-edge logic applications, and are pleased to also extend our footprint into high-bandwidth memory, which is extremely important for AI as HBMs provide fast, high-performance memory, which AI accelerators need to efficiently process massive amount of data. In this regard, we are pleased to have shipped our first HBM system to a large memory customer during the December quarter. We continue to anticipate Fluxless thermocompression remain a strong alternative to hybrid bonding for the next-generation HBM needs. Our other DRAM opportunity stems from vertical wire, which provides a high potential alternative for cost-effective bandwidth through die stacking. We have already seen positive customer feedback on a vertical wire solutions and continue to anticipate strong sequential growth in both TCB and vertical wire over the coming years. Advanced dispense also continue to progress as planned. We introduced our latest ACELON dispense system in November at Productronica. Feedback from customers has been positive, with multiple customers engaged. We continue to prepare several systems to support this initial customer interest. Last, within power semiconductor, we have market-leading solutions and continue to expand our portfolio. In support of growing power efficiency requirements across automotive, mobility and data centers, power semiconductor applications are rapidly evolving. This transition is demanding more efficient materials, more complex assembly techniques and more capable equipment solutions, which we are well positioned to support. Over the past 3 years, we have navigated a challenging demand period for our core products while we invest in several areas to expand our market access. As we now move beyond this period of soft core market demand, we are optimistic and remain well positioned to capitalize on a wide set of opportunities across our served markets. With that said, I will now provide a brief financial update. My remarks today will refer to GAAP results, unless noted. We delivered revenue above guidance, continue to execute on close customer engagements and maintain an ongoing focus on cost control. Gross margins came in at 49.6%, and we delivered $0.32 of GAAP earnings and $0.44 of non-GAAP earnings. Gross margins improved sequentially due to customer and product mix as well as revenue recognized from systems which were previously expensed. This was largely related to prior impairment charges as well as previously expensed R&D systems. Total operating expense came in at $81.1 million on a GAAP basis and $74.2 million on a non-GAAP basis. We continue to remain focused on operational efficiency, while we support a growing set of opportunities. Tax expense came in at $5.7 million, and we continue to anticipate our effective tax rate will remain above 20% over the near term. Over the coming quarters, general semiconductor and memory end markets are expected to continue driving strong demand for our solutions. For the March quarter, we expect revenue to increase by 15% sequentially to $230 million with gross margin of 49%. Non-GAAP operating expenses are expected to be $73 million, with GAAP earnings per share targeted to be $0.53, and our non-GAAP earnings per share of $0.67. Looking ahead, we continue to focus on ramping production as we continue to execute multiple growth strategies across key markets. As mentioned last quarter, this is an interesting time at the company. We're either a dominant incumbent leader or are aggressively taking share in all key markets we serve. We look forward to ongoing execution and progress in advanced packaging, advanced dispense and power semiconductor opportunities as we prepare for broadening core market recovery. In closing, we remain focused on executing our strategic priorities, are confident in our capabilities and technology leadership and look forward to demonstrating our operational leverage over the coming quarters. This concludes our prepared comments. Operator, please open the call for questions.
Operator: [Operator Instructions] Our first question comes from Charles Shi with Needham & Company.
Yu Shi: Lester, maybe the first one, it looks like you are indeed entering an up cycle here based on your results, based on your guidance for next quarter. Can you help us characterize what do you see for the remainder of the fiscal or calendar year, whichever you feel more comfortable at this point? What do you see for the remainder of the year in terms of overall demand, overall top line growth?
Lester Wong: Charles, thanks for the question. So I think we're getting better visibility into the remainder of our FY '26 based on the very high utilization rates as well as our discussions with customers. I was just in Taiwan and China in the last couple of weeks talking to customers. We think Q3 definitely will be sequentially better than Q2. I think the second half of FY '26 should be about 15% to 20% better than the first half.
Yu Shi: That's great color. Then regarding some of the new opportunities you mentioned, I believe somewhere in the prepared remarks, you talked about high-bandwidth flash, but you didn't really provide more details than that. Just a little bit of context why I asked this question because I thought the high-bandwidth flash is a TSV microbump-based technology. But it sounds like you're alluding to, maybe it's not quite more of a TCB driver, maybe it's a vertical wire driver. So mind if you elaborate a little bit because it wasn't clear how HBF is going to benefit or create opportunity for K&S.
Lester Wong: Sure, Charles. Actually, it is a TCB play, not for vertical wire. As you know, HBF is designed to merge NAND level capacity with HBM class performance, right? And the potential benefit is obviously unlocking bottlenecks and AI workloads, right? So HBF targets to match HBM bandwidth to 8 to 16x capacity. At this point, HBF is still in early stages. We anticipate multiple packaging technologies can be used to assemble these packages, including TCB. So right now, we're currently exploring this technology with a few customers. So it is going to be our TCB, probably APTURA that will be used for HBF.
Yu Shi: Okay. So you do have a TCB tool, which you just shipped to one of the top 3 memory customers. But yes, so it sounds like that is for HBM qualification. So what would be the next milestone like for TCB and HBF, like do you expect to ship another tool? Is that the milestone that we should be all looking forward to?
Lester Wong: Sorry, Charles, you mean the next milestone for HBM or HBF? HBM, right?
Yu Shi: High-bandwidth flash, sorry. I meant high-bandwidth flash.
Lester Wong: Okay. So I think the milestone, like I said, right now, we're in early stages of discussing with some customers. I think probably the next milestone would be probably shipping a system or -- probably shipping a system before a PO, so at this point.
Yu Shi: Okay. So a system should -- okay. The next milestone is another qualification system shipment. Okay, got it.
Operator: Our next question comes from Krish Sankar with Cowen.
Sreekrishnan Sankarnarayanan: Congrats on the results and guidance, kind of interesting to see the cyclical recovery here in play. I just kind of wanted to just clarify, you said second half -- fiscal second half weighted by 15% to 20%. Is that just conservative? Because I would say that if you try to strip it down by quarter, it seems like the growth rates slowed sequentially to high single digits versus low double digits the last 2 quarters. But I would think that it should be better than that given a cyclical uplift. So is this more conservatism or of the fact that this is the visibility you have today, things could end up being better than expected?
Lester Wong: So thanks, Krish. I mean that's the visibility we have today, right? Again, while visibility is better, as I said, and utilization rate is very high at 85% over -- close to 90% in China, there is still a lot of uncertainty in terms of some of the macros, right, things we've been talking over the last couple of quarters. But at this point, we think -- from all my discussion customers, it's getting much more solid. So 15% and 20% is what we see at this point. There could be potential upside on top of that. But for now, I think 15% to 20%.
Sreekrishnan Sankarnarayanan: Fair enough. Fair enough. And then just to follow up on the strong growth here for advanced packaging. I'm just curious, is there a way to quantify how much did your TCB plus FTC revenues would be? Is it close to $100 million this fiscal year? And also on the FTC side, have you been -- has your plasma solution been qualified at the bigger foundry or not yet?
Lester Wong: So are you saying have our FTC been qualified at the foundry?
Sreekrishnan Sankarnarayanan: The plasma solution, not the formic acid.
Lester Wong: Right now, we're working on the qualification for the plasma. As we mentioned, the formic acid has already been qualified. It's in high-volume production. Again, I don't want to speak specifically about individual customers, but we're working very closely with the customer on that. I think for our TCB, we obviously, as you know, Krish, we started with IDM in the U.S. and we've moved on to foundry. Now we're also seeing quite a lot of demand from OSAT. We have 120 TCBs in the field, and half of those are Fluxless. So we feel pretty good about our TCB system. We think it's best-in-class. It's got great material handling capabilities, which allow for customers to do different processes. So I think -- we definitely think both plasma and formic acid, we're best-in-class on FTC.
Sreekrishnan Sankarnarayanan: And let's just say, any kind of qualification on TCB revenues for this fiscal year?
Lester Wong: Well, I think for this year, for TCB, it will be over $100 million.
Operator: [Operator Instructions] Our next question comes from Craig Ellis with B. Riley Securities.
Craig Ellis: Lester, congratulations on the nice execution. I wanted to start just by going back to the thread that Charles was on with high-bandwidth flash. The question though is, as you engage with multiple customers on high-bandwidth flash, what's their expectation for when this can commercialize? Obviously, new standards have to go through JEDEC, but on the other hand, you've probably got NVIDIA pushing really hard, and they've been very successful at accelerated technology adoption. So when are these customers thinking this can come out in volume?
Lester Wong: Well, Craig, as I said, I think it's early days yet for the technology. As you put it, I think it's -- it will take a while for [ quotations ]. There's a lot of different standards talking about. I think this will probably be more of a CY '27 play.
Craig Ellis: Got it. And then going back to your comments on the initial shipment to a customer for high-bandwidth memory, can you just walk through the time line for when we go from that tool, which looks like an evaluation order, to volume production? Can that happen in fiscal '26 or is volume production really fiscal '27?
Lester Wong: I think volume production will be in fiscal '27. I think right now, we've shipped the system to their facility in the U.S. It's undergoing qualification. I think the next milestone will probably be hopefully another system being shipped. There may be POs within FY '26, but I think actual production would be more FY '27.
Craig Ellis: Okay. And we'll look for progress on that. Lastly for me, vertical wire, since this is something that could work in low-power DRAM and mobile-related applications, typically the early technology adopter releases product in the third quarter of the calendar year. Do you think we can hit that in the second half of 2026? Or is this something that really goes up in significant volume in the second half of '27? Or do you see initial adoption coming out of the Android community and when would that be?
Lester Wong: I think there will be more -- it's gaining traction, but I think this is more -- maybe the latter half of FY '26, there'll be some. But I think they'll actually expand much more in FY '27. We're currently working with 8 customers in Korea, China and the U.S. on this. So again, we pioneered the technology of vertical wire, so we're pretty excited about it. This, in addition to the HBM system that we shipped to the leading memory maker, is our sort of play into DRAM. Craig, as you know, our memory business has been traditionally very heavily into NAND, which is still growing, as I said. But I think this is, again, more opportunities for us in memory and because we think memory actually is going to be pretty robust going forward.
Operator: Our next question comes from Dave Duley with Steelhead Securities.
David Duley: It's nice to see the recovery in the business. One of the comments I think you made in your slide deck is you're seeing the data center revenues increase in the general semi bucket. I was just wondering if you could talk a little bit about what those applications are, because it's really interesting that you're seeing a significant recovery when the outlook for PCs and handsets are actually down sequentially in units in '26.
Lester Wong: Thanks, Dave. Great question. As I said earlier, over the last couple of weeks, I personally had a lot of conversation with customers in Taiwan and China. And data center is basically the central driver for this cycle. So we support data center in many ways. We have a very strong AP portfolio. It's a best-in-class for chiplet and heterogeneous logic applications. We've actually been taking share in leading-edge logic for data centers over the last couple of years already. And we're already in production for some of the most advanced heterogeneous logic applications. We're also positioning ourselves for future growth. We're in the process of expanding our facility here in Singapore to increase our Fluxless thermocompression production capacity by 3x. So in addition to AP, we also support data center, memory and general semiconductor solutions. So many applications in data center like general infrastructure, networking, communication, power and storage, it relies on more high-volume traditional assembly technologies like ball bonder, basically, our core products. And for memory, as I think I said earlier in response to Craig's question, we're mostly in NAND, even though we're moving into DRAM. And we're seeing actually a lot of enterprise SSD being increasingly used in data centers now, and that also help drive our memory business. And that's another way we play in the data center.
David Duley: Okay. Could you just remind us what the utilization rates are in your key regions? I think you mentioned one in your commentary, but if you could just kind of run down the key regions for us, that would be great.
Lester Wong: Sure. China is over 90%. It's been in the high 80s and 90s for a while now. We see it continuing. The rest of Asia is around 80%, which has come up now. Southeast Asia, which was a laggard, is now coming back. It's still only in the 70%, but it's been increasing over the last couple of quarters. And then North America is also over 80%. And North America and Europe, we look at it together, it's about 80%. So almost everybody is near 80% and China is at 90%.
David Duley: Okay. And then the gross margins during the March quarter -- or excuse me, the December quarter were close to 50%, and you mentioned that there was some benefit from some previously written-off inventory. But then I think you guided gross margins to almost the same level again in the March quarter. So could you just talk about gross margins throughout calendar 2026 as we grow the revenue and what your expectations are there?
Lester Wong: Sure, Dave. I think for the rest of FY '26, gross margin should be around 49% to 50%. I think what we're seeing now in our core business ball bonder is that there's a lot more demand for our high-performance ball bonders, which is much better margins, much better than our LED, for example. So a lot in high-performance bonders. Second thing is obviously, increase in volume helps with absorption, which helps the gross margin. And finally, we've always been very focused on cost control, and we'll continue to do that even during a ramp.
David Duley: Can we expect gross margins to continue to go higher as revenue ramps?
Lester Wong: Well, like I said, it's going to be around 40% to 50%, which is always been our target is 50%.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Joe Elgindy for closing comments.
Joseph Elgindy: Thank you, Maria, and thank you all for joining today's call. As always, please feel free to follow up directly with any additional questions. This concludes today's call. Have a wonderful day, everyone.
Operator: You may disconnect your lines at this time. Thank you for your participation.